Operator: Good morning, and welcome to Malibu Boats Conference Call to discuss First Quarter Fiscal Year 2019 Results. [Operator Instructions]. Please be advised that the reproduction of this call in whole or in part is not permitted without written authorization of Malibu Boats. And as a reminder, this call is being recorded. On the call today from management are Mr. Jack Springer, Chief Executive Officer; Mr. Wayne Wilson, Chief Financial Officer; and Mr. Ritchie Anderson, Chief Operating Officer. I would now like to turn the call over to Mr. Wilson to get started. Please go ahead, sir.
Wayne Wilson: Thank you, and good morning, everyone. On the call, Jack will provide commentary on the business, and I will discuss our first quarter financials and outlook for fiscal 2019. We will then open the call for questions. A press release covering the company's first quarter fiscal year 2019 results was issued today, and a copy of that press release can be found in the Investor Relations section of the company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking and that actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today, and the company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with the SEC, and we encourage you to review our SEC filings for a more detailed description of these risk factors. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA, adjusted EBITDA margin and adjusted fully distributed net income. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. I will now turn the call over to Jack Springer.
Jack Springer: Thank you, Wayne, and thank you each of you for joining the call. The first quarter was an outstanding quarter for Malibu, and we delivered very strong results surpassing our budget in the outlook by analysts. For the quarter, net sales increased 19.3% to $123.5 million. Adjusted EBITDA increased to $22.9 million or 29.7%, and adjusted fully distributed earnings increased 59.5% to $0.67 per share. Our first quarter illustrates that we are a growth company and in - within in that capability delivered consistent profitable growth. Malibu's success has been driven by our ability to execute on the core principles of operational excellence, being the innovation and product development leader, cultivating the best dealer network and making disciplined strategic acquisitions of premium brands. A very important note to our quarter is that the delivery of our performance was done without any contribution whatsoever from Pursuit. That acquisition closed October 15, our second fiscal quarter. The impact of Pursuit is still to come. Speaking to the Pursuit acquisition, we cannot be more excited about the opportunities this presents for us to drive growth for our shareholders. Pursuit is one of the most premium brands in the fast-growing outboard fishing boat market. The Malibu team has already hit the ground running and is working to maximize the potential of this incredible brand. Pursuit has grown retail registrations over 10% in the calendar year despite capacity constraints. Our immediate focus is on expanding production to provide supply for our dealers to ensure that we can meet growing consumer appetite for the Pursuit product. Once that is accomplished over the next 18 months, we will then focus on distribution which provides a significant opportunity. Now, and throughout the expansion of capacity, we will continue to focus on new product and innovations. As you know, we believe product is one of the last bloods of a brand, and we use it as a competitive advantage. Our approach in today's call is slightly differently. I know there are a lot of macroeconomic concerns and there a number of questions about tariffs, the cycle and views on the future. However, it is very important to understand that in every year, outside of a recession, there are tailwinds and there are headwinds. That never changes. Great successful companies are the companies that anticipate, navigate and manage the headwinds while maximizing the tailwinds. Malibu does that exceedingly well and you would hear on this call that we continue to do that. First, let's address the factors that are very important to know and keep in mind. This economy is white-hot, and our belief is that it will not change. As examples, last week, the consumer confidence index registered a new record at 137.5, confidence with the consumer continues to rise. GDP growth surprised positively for the most recent quarter at 3.5% growth following a 4.2% growth rate in the previous quarter. 49 out of 50 states have a positive GDP growth rate and the highest rates are in states that embrace Performance Sports Boating and Pleasure Boating. We had the lowest unemployment rate in the last 50 years at 3.7%, and there's a belief that it will go lower. And lastly, personal income growth remains on fire with Q2 coming in at 4.2% growth rate. And 30 states had a growth rate of 3.9% or greater, and our demographic is a key beneficiary of that. Every one of these factors I have just mentioned benefit the Marine industry and the MBUU. As for the concern that recent events were at the beginning of a down cycle, we do not hold that opinion. Based on the economy and what we see from consumers, we continue to believe that the 2020 election cycle plus 1 year is the next potential cycle change. We have delivered consistent outstanding results because we have a thriving domestic market in a healthy U.S. economy. We continue to be extremely optimistic that the U.S. market - about the U.S. market going forward. In the segments we participate and lead in for the calendar year-to-date 2018, Performance Sports Boats registrations are growing faster than the 2017 rate of 7%. While the early September data came in flat for Performance Sport Boats, we don't believe it tells the whole picture. We have advised everyone before. Monthly data is fragmented and consistent and only represents to about half of the entire landscape. Monthly data can be skewed for many reasons including weather, in which states are represented. In September, data did not include one of the largest states in the market, California. In our internal data, warranty registrations are very strong for example, Malibu warranty registrations were up significant in all 3 months of the quarter, and model year '19 is up over 12% more than model year '18 for the quarter. Additionally, our dealers are upbeat and their inventory levels are healthy. Based on this, we are bullish about the Marine industry and we expect to see continued strength in the market. In Cobalt's addressable markets, we continue to see Cobalt outperforming the competition and gaining share. While the overall sterndrive market has contracted in 2018, it has almost exclusively been in both less than 21 feet and greater than 30 feet. In the core segments of 21 to 23 and 24 to 29 feet, Cobalt has continued to grow and has seen material market share expansion. Overall, Cobalt is the market share leader in the 20 to 40-foot sterndrive segment, and we believe sustainable growth is achievable in that segment. As Cobalt's position in the outboard market continues to mature, we are seeing significant growth and further penetration. As we've said before, Cobalt's presence in the outboard market should continue to grow as we add new models over the next few years. We believe this will only be enhanced by the addition of Pursuit, and their expertise in larger boat outboard design and innovations. Now let's speak to what we are seeing internally within our brands and companies. We believe the historically strong order book that we see at Malibu and Cobalt is also being seen at Pursuit. At Malibu, we've increased daily production count and added a couple of unplanned priorities to accommodate this record backlog. As of September, we performed a dealer-by-dealer study on all dealers that have their financing with Wells Fargo. At the end of September, inventory levels are low. Lower than I thought we would find. That contributes to the confidence that the SSI data disseminated in the September needs much more development. At Cobalt, we have added significantly more tooling for the most popular models. As a result, production is being increased by about 40% versus the same time last year. Again, we also know the channel inventory is in great shape and dealers are asking for even more boats. The last revealing slide I will mention is the early boat shows. Fort Lauderdale was very strong for both Cobalt and Pursuit. Cobalt more than doubled last year's sales of Fort Lauderdale, and we believe that once all sales are closed for Pursuit, over the next two weeks that those numbers will be ahead of last year as well. Two earlier shows Annapolis and Tampa also strong - saw strong results for both brands. We know there are some industries and companies that are affected by the tariffs. However, there are many that we believe are using tariffs as the reason for their struggles when they really have other operational issues. It has been a rough month for the U.S. stock market, and a very frustrating one and it relates to the drop in process for no substantive reason. I reiterate that the economy is strong. The strength across the board and the economy directly translates to our demographic. Tariffs have been a drag on the overall perception of the economy, both from an import and an export impact. While it is not as severe as many make it out to be, Malibu has been very strategic and proactive in managing any repercussions. Related to the supplier side and cost for us, we have been focused on it. While we are seeing supplier price increases, we anticipated much of the increase when we set our pricing and we've worked diligently with our suppliers to control cost and potentially source from nontariff countries. You should also recall that 3 to 4 years ago through our vertical integration capabilities, we transitioned many parts from China to our plant in California that produces much of our stainless billet and aluminum parts. Moving to international distribution in retail, it is also under control. First, just 5% to 7% of our annual revenues derived from companies that have tariffs on boats coming in. This includes Canada. I can also tell you that we have not seen a decrease in orders from Canada through the first quarter. Canada should be resolved in the near term and we are working with our dealers to ensure they continue to have sufficient stock and our ready for the boat show season. I will speak to Europe for a minute, and I'm also pleased to make an announcement regarding Europe. Europe as you know has a 25% tariff on U.S. manufactured boats, however, it's important to note that nearly 70% of our shipments to Europe always occur in the second half of the fiscal year from January to June. This is due to boat shows, weather and the manner in which the European consumer purchases our product. Since the summer, we have been executing a plan and adding capacity to our Australia plan. I am very pleased to tell you that beginning in late December, Australia will be building many models of Malibu in Axis boats for Europe until the tariff situation is resolved. This means that Malibu, our European dealers and our customers in Europe will not have to contend with the tariff. This is a competitive advantage and another example of MBUU's prowess in strategy, planning, operational excellence and the ability to navigate around issues. Ultimately, from a wholesale and a retail point of view, the tariff impact on us is minuscule. Last quarter, we spoke in detail about the new product. We have an amazing new product line up for model year 2019, which includes boats and features. Again, we have brought to market 4 new boats for Malibu in Axis. The Wakesetter 22 LSV and Wakesetter 25 LSV for Malibu and the A22 and T23 for Axis. At Cobalt, we've already introduced the A36 ultimate boat, which was requested by dealers and consumers a lot after the introductions of the very high in demand A26 coupe. Other new Cobalt boats will be announced later this model year. The new Malibu Monsoon engines have been a focus area for the last two years, and that project has reached fruition. The new Malibu engines began shipping with the 25 LSV in the first quarter. Additional boats will have the new Malibu engine in the second half and by the beginning of model year 2020, we plan to have all Malibu and Axis boats housing the new engines. We have had an amazing feedback loop on the performance and quality of our engines from everyone who has seen and used them. We're also very proud that we have past the highest level of industry recognition for CARB EPA emission standards, the 5 star CARB rating. Malibu has met all qualifications and we are just awaiting official certification. This is huge for us. It is very difficult to achieve, and we are only the second engine company in the Performance Sports Boat segment to attain this qualification. The engine vertical integration is just the latest reality of the many advantages that vertical integration has for Malibu. It provides us with an opportunity to grow, expand margin and enhance shareholder value. It is also a competitive advantage by allowing us to control the product from conception through production, and provide value to the customer by improving quality while reducing cost. As I've mentioned earlier, vertical integration of parts has allowed us to navigate the channel related supplier tariff waters much better than most. There are more vertical integration actions in work, and now we have the opportunity to create advantages at not just Malibu but also Cobalt and Pursuit. In the 4.5 years since our IPO, Malibu has accomplished many great things and grown extensively. We have made three acquisitions and begun two start-up vertical integration businesses in those 4.5 years. Looking at the pillars that make a company bad, mediocre or great, Malibu excels. Product, we deliver more new products and more innovative product every year than our competitors. Product and product innovation is a competitive advantage that we are now extending into our acquisitions. Distribution, we strive ahead with the best distribution and dealers for our brands. Malibu and Cobalt have this in place, and although, smaller with distribution today, Pursuit also has great dealers in place. Operational excellence. Our metrics are at the top of the charts, but this quarter demonstrates yet again just how operationally excellent we are, and how we've handled the tariff situation from both: a, supply-side; and an international distribution perspective. In summary, we started the year with an impressive quarter exceeding everyone's expectations. This fantastic quarter was achieved without any contribution from Pursuit, which closed in the second quarter. This only indicates the great performance to come. With the closing of our acquisition of Pursuit, we have added another premium brand that presents numerous opportunities to enhance value creation. We are in a very strong economy that is performing - that has outperforming history in most economic categories. The consternation of the last few weeks is unnarrative in our opinion. Concurrently, the domestic Marine market is showing strong growth, and we are setup well to capitalize due to our competitive advantages. U.S. dealers and consumers are confident in the economy, that's resulted in strong demand, record demand. Channel inventories remain healthy for our brands. Tariffs are an excuse for others, but Malibu has successfully maneuvered them and we are experiencing very little incremental impact. By building both for Europe and Australia, we have removed much of the European concern. Robust margin expansion improves our operational excellence, sets us apart. And our engine initiative has begun to roll out but it's not the end of our vertical integration strategy. Overall, MBUU remains incredibly well-positioned going forward, and with Pursuit, we will have an arsenal of premium brands in attractive segments. I will now turn the call over to Wayne to take you through the quarterly results in more detail.
Wayne Wilson: Thanks, Jack. In the first quarter, net sales increased 19.3% to $123.5 million, and unit volume increased 15.8% to 1,516 boats. The Malibu brand represented approximately 42% of unit sales or 636 boats. Axis represented approximately 20% or 297 boats, and Cobalt represented the remaining 583 boats. Consolidated net sales per unit increased 3% to approximately $81,500. The increase was primarily driven by year-over-year price increases. Gross profit increased 33.1% to $30.5 million, and gross margin increased from 22.1% to 24.7%. Excluding the impact of $1.5 million in purchase accounting step up on Cobalt's inventory, in fiscal first quarter 2018, our gross margin increased 110 basis points from 23.6% to 24.7%. Selling and marketing expense decreased 2.5% or $0.1 million in the first quarter. As a percentage of sales, selling and marketing expense decreased by 70 basis points. General and administrative expenses increased 26.8% or $1.9 million. The increase was primarily driven by expenses related to the acquisition of Pursuit boats and investments to support our Cobalt growth strategy. As a percentage of sales, G&A expenses excluding amortization increased about 50 basis points to 7.3%. Net income for the quarter increased 87.3% to $12 million. Adjusted EBITDA for the quarter increased 29.7% to $22.9 million, and adjusted EBITDA margin increased about 140 basis points to 18.5%. Non-GAAP adjusted fully distributed diluted earnings per share increased 59.5% to $0.67 per share. This is calculated using a normalized C corp tax rate of 24.1% and a fully distributed weighted average share count of approximately 21.8 million shares. For a reconciliation of adjusted EBITDA and adjusted fully distributed net income to GAAP metrics, please see the tables in our earnings release. In October, we closed the acquisition of Pursuit boats. We remain extremely excited about the opportunities Pursuit provides us to grow and increase shareholder value. The following consolidated outlook for fiscal 2019 includes the 8.5 months of contribution from Pursuit since it closed on October 15. For Malibu and Cobalt, an increasing unit volume over last year in the high mid-single-digits. For Pursuit, a total unit volume for the fiscal year of just over 400 units. Net sales growth for Malibu and Cobalt approaching double-digits. Consolidated net sales growth approaching 30% for the full year. Consolidated gross margin is expected to be about flat year-over-year. Acquisition and engine expenses are expected to be approximately $6 million to $7 million, not including purchase accounting adjustments for asset step-ups. Consolidated adjusted EBITDA margin is expected to be down slightly year-over-year. And for consolidated capital expenditures, we are currently planning between $17 million and $18 million. Finally, our forward-looking normalized annual C corp tax rate is expected to increase modestly for the year above our current rate of 24.1%, once we fully integrate the impact of Pursuit. We are extremely proud of the great progress we've made at Malibu over the years. Introducing industry leading margins and our rapid success in improving them at Cobalt should give all investors great confidence in what we can achieve as a combined entity. We understand that Pursuit being our second acquisition in the last 1.5 years has once again reset the baseline for our margins. However, we believe through the continued focus on operational improvements and vertical integration, there is a path back to 20% adjusted EBITDA margins. In closing, we had a record setting start to fiscal 2019 and are set up for an incredibly strong year. We continue to execute several attractive opportunities to grow the business and its profitability. And we are optimistic about the economy and the Marine industry. With that, we would like to open the call to your questions. Operator?
Operator: [Operator Instructions]. And our first question comes from Brett Andress from KeyBanc Capital.
Brett Andress: Jack, I wanted to touch - I know you touched on this in your prepared remarks. But given the market volatility recently, you know we are interested in getting, I guess, some of your deeper thoughts on the boat cycle? And more specifically, I guess what are you seeing right now at the consumer level in terms of new boat demand? Are you seeing any changes in consumer behavior? Or the ordering patterns, buying patterns, just anything along those lines here, recently at some of the boat shows?
Jack Springer: From a consumer standpoint, we're seeing very high demand. I mean clearly, when you have record backlog, the consumers are placing orders for boats. We continue - we've communicated this for probably the last 18 months, 2 years. We continue to see that retail consumer go up in size length. So if they owned a 23 LSV before, they're buying a 25 LSV et cetera. And we are also seeing that consumer just have an insatiable demand for features. And one of the things that we did this year, is we always bring a number of new features, but I would say model year 2019, we put that on steroids. We are bringing out more new features than we did in '18 and in '17, because we know number: number 1, that it is a competitive advantage; but secondly, we also know that that consumer is buying, if they want it on their boats. Anything that enhances their use and enhances their convenience, they're acquiring it. And this goes across Malibu, Cobalt and from early returns, we've also seen that it also goes across Pursuit.
Brett Andress: Got it. And then I know you mentioned the SSI data has been choppy. The last few months with inaccuracies in some of the key states like California. But I'm just curious, what exactly does 1 key registration is up significantly mean? Is that 10%, 20%? Is that across all the brands? And then I also think in the press release, you've mentioned record-setting demand. So is that the retail sell-through that you're seeing? Or is that more of your order book building?
Jack Springer: So the record-setting backlog will be orders that we have in house, for both Cobalt and Malibu, they are at record levels. Meaning that dealers either through sold boats or needed stock inventory to place orders with Malibu and Cobalt. I cannot tell you that in my entire tenure at Malibu, I've seen a backlog that goes out as long as we have today. Secondly, to kind of answer that question a little bit. When we talk on warranty registrations, we're up, and I think this including Pursuit, we're up across the board. Malibu is very strong, Cobalt is a little bit further backward, but I think that from a warranty registration standpoint, we have been dealing with a deck of inventory, that we're just now getting to a level that we wanted to be. So there would be naturally less warranty registrations. As it relates to the SSI data, I've frankly, gotten to a point where I get the monthly data and say, I'll wait for the quarterly data. Because it is just not anything as I pinned upon on a month-to-month basis.
Brett Andress: Got it. That's fair enough. And then the last one here. Could you just help us better frame up the state of the dealer inventories at Pursuit? I guess just help us understand the opportunity there? What two weeks on hand? What does that look like? I mean how far off of optimal levels do you think that network is right now?
Jack Springer: We're still getting our arms around that. Wayne maybe able to answer that, as to the weeks on hand. I think I would point to a couple of factors that are in play. Number 1, because of the lack of capacity, Pursuit has restrained their ability to grow the distribution. And I think in our last call that I mentioned the fact that Pursuit has a concentration of their dealers in the Southeast and the Northeast. Midatlantic across the country, West Coast, even internationally, there's not a preferable dealers that are in place. So that is - that represents a huge opportunity in our opinion. For the most part, the dealers that exist today probably get the great majority of the boats that they need, minus a few of them. And so that concentration is certainly been evident, that they've tried to satisfy the current dealer network and hold back on growth. I do believe that once we get that capacity in place, the existing dealers will now say, I know I can get both. We're going to see the exact same thing with pursuit that we saw with Cobalt. The dealers will know, that they can get boats, they're going to place some orders and they'll bring the stock levels up. And I think in turn, what that will do is it will give us a great impact with Pursuit to be the brand of choice in the segment that they operate in. And then we can grow distribution from there. Wayne, do you have any statistics?
Wayne Wilson: No specific statistics to share. We generally aren't sharing weeks of inventory data, but what I would tell you is we think it's a healthy number. We don't think it's heavy in any way, shape or form. But I think your description of, that they have done a nice job of servicing the dealers that they have, but it really has constrained their ability to expand that distribution network. And it's a little less season than ours as well, just because it's a lot more in the Southeast, a lot more Florida and so it has a little bit less, sort of the, seasonality to it.
Operator: Our next question comes from Michael Swartz from SunTrust.
Michael Swartz: Just wanted a little more clarification, I guess as it relates to guidance with some of the commentaries around the retaliatory tariffs. And I know back in August, or sorry September, when you initially gave guidance that you had built-in some type of impact from the retaliatory tariffs. So I'm trying to understand, did that change in your updated guidance? And just maybe a little more color how you're dealing with that, particularly in Canada since that is a pretty significant market for you?
Jack Springer: I'll speak Canada, and then let Wayne take your first question. On Canada, that's really good analogy. We worked with our dealers. Our dealers I think, were coming from a position that they didn't have, probably as much stock as they wanted to have. And so as I said in my remarks, we've not seen any downturn in the number of orders in the first quarter. And we probably held back on that a little bit, frankly. So we believe that Canada has largely not affected us at all. 10% has been something that we've been able to accommodate pretty easily along with our dealers. Wayne, you want to answer the other question?
Wayne Wilson: Yes, with respect to the projections. I think nothing really has moved in the projections. We obviously, per Jack - Jack's commentary anticipated some of those issues in our original guidance. And obviously, some of those have manifested themselves, but we're actively managing it. And I think we're aggressively managing it. So our hope would be to under promise and over deliver and manage that better than we originally set out.
Michael Swartz: Okay, great. And then second question which is sticking with the guidance but really pointing it on the gross margin, came in a little healthier than I would have thought, particularly given the inclusion of Pursuit. But if I'm doing the moving parts here on the 3 different businesses, Cobalt, Malibu, Pursuit. Obviously, making some assumptions, it really looks like Cobalt, am I right in saying Cobalt's gross margin relative to the guidance is up a couple hundred basis points since when you acquired it? And then just where are we on the path of cost synergies as we look out I think through 2021 you expect to get $7.5 million is what you've said. Maybe where do we stand today?
Jack Springer: Go ahead, Wayne.
Wayne Wilson: Yes. I would tell you, we are well down the path in terms of improving that Cobalt gross margin. It is on a year-over-year basis. This quarter was up over - excluding the impact of that $1.5 million step of the inventory that occurred at the transaction, it was up over 400 basis points. So and that's a combination of both materials and labor primarily. The 2 major components. So I think we feel very good about where Cobalt's gross margin has - we've been able to take it so far. I think that point of year-over-year comparison is probably the most dramatic. So I'm going to expect that prospectively. However, I think it's pretty indicative of the quantum shift that we see in operations team and Shane and the group out there have been able to affect. It's been really impressive. And so I think, we're pretty far down the path, but there is still opportunity whether that be on operations side, vertical integration, and we have still some more back office stuff that we're working on that will manifest itself in the coming 6 to 12 months with the combined entity. So we feel really good about the trajectory as you can probably tell from my commentary on margins.
Operator: And our next question comes from Joe Altobello from Raymond James.
Joseph Altobello: Just wanted to go back to your comments earlier about the overall market. I think you mentioned, you were expecting the performance of sports boat market to increase a little more than 7% this year, which is slightly better than last year's growth. So how are you guys specifically thinking about calendar '19? Would you expect further acceleration next year? Or some moderation to that mid-single digit growth rate?
Jack Springer: I think, the way that I view that is, as we go back to what we've said for a long time, there might be a slight moderation, but we believe it's going to be in that 5% to 8% range for the foreseeable future. Right now the market is hot and strong, all the economic factors are driving our demographic and our consumer. And there's nothing that in 2019 that I see that will back that off.
Joseph Altobello: Okay, got it. And a couple of quick points on guidance. It looks like the unit growth outlook for Malibu and Cobalt is a little bit better than what you gave us 3 months ago. What's driving that? Is that just better demand and a better backlog that you've seen over the past 3 months?
Jack Springer: Yes, demand certainly. But the other thing that we alluded to, and I think this touches both at demand equation as well as the margin equation. Is as we got in, and we discovered what was occurring at Cobalt. You have a series of boats called the R series that are very, very strong in the market. Highly recognized, highly in demand and that was one of the areas that we just simply could not built enough of them. And when we mentioned this morning that the greatly enhanced, the tooling capabilities, we had a tooling as an example for the R series, and that's allowed us to build many more of those boats. So that also feels that additional unit count as well as margin.
Joseph Altobello: Okay, got it. One last one on EBITDA margins. I know obviously, you gave us the margins for the Pursuit acquisition. But is the base Malibu, Cobalt EBITDA margins still expected to be up slightly for this year?
Wayne Wilson: Yes, I mean I think our original guide was up modestly. And I think our guide today, it includes that and...
Joseph Altobello: Okay. So the change in boat today is purely Pursuit?
Wayne Wilson: Purely Pursuit.
Operator: And our next question comes from Eric Wold from B. Riley.
Eric Wold: Couple of questions around vertical integration. I guess one, can you talk a little more about the plans with the engines around model '19 production, I guess 1, where are you right now on engines per day? Where do you think you can get to by the end of the fiscal year? And then will the engines be provided somewhere as an option in the certain models? Or be the standard in those models, when it's rolled out?
Jack Springer: The engines today, and we have begun building a backlog of engines even before the model year came up. We wanted to make sure that we were fully prepared. So we're building a little bit more than what the need is today. And as we continue to roll new models out, we'll increase that load or the capacity of the engines that we build. By model year 2020, every Malibu and every Axis boat will be getting that Malibu engine is the plan. And that will in turn each - depending on the size of boat, it will have a standard engine that we would recommend, but you also have scenarios where people want more power. They want to do something a little bit differently. Perhaps our concentration on the boat. And given that the versatility of our boats, that you can do anything with them, they don't have to be specifically a surf boats or a wakeboard boat. Then they can go upscale in that engine. So each engine, or excuse me, each boat will have a recommended kind of starting point on the engines, but people can then upgrade if they want to.
Eric Wold: Got it. And then secondly, at the Analyst Day, in mid-September, you discussed about other opportunities around vertical integration beyond engine powers, trailers you have done with something that was kind of near term? Any update there?
Jack Springer: Not yet. We still believe that we're probably rolling this out towards the end of model year '19. And although, it'll not be as large and as compelling as engines, it will still be pretty compelling to have a good margin profile.
Operator: [Operator Instructions]. And our next question comes from Gerrick Johnson from BMO Capital Markets.
Gerrick Johnson: We've seen large backlogs in the RV industry create bad behavior and unintended consequences. Are you concerned about your backlogs being too high? And how do you police your dealers from over ordering and engaging in that bad behavior we've seen elsewhere?
Jack Springer: I think that if you look back in 2009 and '10, our entire Marine industry is probably in a little bit different frame of mind than we were then. And I would say that Malibu is in much more of the frame of mind that I'm going to talk about. In 2007 and '08, people were doing what I call going and blowing, they were building new things, they were taking on inventory. They felt like the end was never going to come. And that along coupled with a banking industry that almost fell apart, you have a great recession. What happened as a result of that, I believe, is it put some prudent thought processes in place. Not only with the dealers, not only with the manufacturers, but also with Wells Fargo and other financing institutions. So you have 3 different core groups now that are looking at inventory levels, looking at where we're going to be or where we're going. And I think that we're doing it much better than other industries, 1 that you mentioned. From a Malibu point of view, we are very, very focused on it. I referred to the fact that we looked at the inventory levels for all of the dealers that have Wells Fargo financing in September. We do that periodically. We know on a month-to-month basis what our dealers have in inventory. We know on a month-to-month basis what the trends are, and what the weeks on hand is. And so the worst thing that I believe that any of this can do is just turn a blind eye and start pumping inventory into the channel and say everything is going to be okay. We know exactly where we want our dealers to be, what inventory that we want them to carry, not just that, that large level but down to the model level and what they caring in that regard. So we're extremely focused on it. I think that people make bad decisions. And there may be some people in Marine that make the bad decision of trying to pump too much inventory into the channel. Malibu will not be the one of them, and I think as a whole, our industry will not be the Marine - the RV industry.
Gerrick Johnson: Great. And I guess Cobalt's in the next phase of your integration, you've increased margin through put. So can you talk about the opportunities to expand distribution?
Jack Springer: Yes. The distribution at Cobalt is - really more of a matter of improving. On the contrast that with Pursuit, you've heard us talk about Pursuit as a great opportunity on distribution. Increasing the number of dealers, going worldwide frankly in our ability to put dealers in certain places. Cobalt was somewhat different. Cobalt had a great dealerbase, largely number 1, number 2, number 3 in their respective markets. I think the biggest opportunity for Cobalt has been in that whitespace area. Not replacing dealers but areas that they didn't have the saturation that a Malibu had. And so we've added a few dealers and that will continue to be an area that we can gain, but the biggest opportunity that we have at Cobalt, is to take that dealer that is number 3, number 4 or number 5, work with them and help them to become number 1 or number 2. And that's been the communication. We expect a Cobalt dealer with the product that they are being delivered, if they are good dealership to be number 1 and number 2 in the market. And that's where we're headed and focused.
Operator: And I'm not showing any further questions at this time. I would now like to turn the call back over to Mr. Jack Springer for any further remarks.
Jack Springer: Thank you very much. Malibu had a great quarter, outperforming all our expectations. We continue to excel with our strength of strategy and execution, and we're looking forward to the benefits that can be generated for our shareholders with the Pursuit brand. I want to thank you for your support of MBUU, and thank you for being on the call today. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program, and you may all disconnect. Everyone, have a wonderful day.